Operator: Good day and welcome to the Equifax Third Quarter Earnings Release Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Jeff Dodge. Please go ahead, sir.
Jeff Dodge: Good morning. Welcome to today's conference call. I'm Jeff Dodge, Investor Relations, and with me today are Rick Smith, our Chairman and Chief Executive Officer, and Lee Adrean, Chief Financial Officer. Today's call is being recorded. An archive of the recording will be available later today in the Investor Relations section in the about Equifax tab of our website at www.equifax.com. During this call, we'll be making certain forward-looking statements to help you understand Equifax and its business environment. These statements involve a number of risks, uncertainties, and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in the filings with the SEC, including our 2008 Form 10-K and subsequent filings. We will also refer to certain non-GAAP financial measures, which are explained in the non-GAAP financial measures reconciliation attached to our earnings release. Including adjusted net income, adjusted operating margins, adjusted diluted EPS and operating results, excluding the impact of foreign exchange. Please refer to the non-GAAP reconciliation section included in the earnings release and posted in the Investor Relations section under the about Equifax tab on our website for further details. Now I would like to turn it over to Rick.
Richard F. Smith: Great. Thanks Jeff, good morning everyone. I think everyone will agree that the third quarter financial results that we released last night. Again, underscore the resiliency of our business and our ability to deliver good operating performance, good margins, significant free cash flow in a very difficult environment. For the quarter, in summary, total revenue was $451.9 million, down 4.1% in constant dollars in the third quarter of 2008. Operating margins were 23.5% flat. When compared to the second quarter of 2009, our adjusted EPS was $0.57, changes in foreign currency negatively impacted EPS by approximately $0.02 for the quarter. So, exciting news, we announced yesterday. We announced that the tentative agreement on strategic acquisition that will significantly expand our ability to provide unique decisioning solutions to our customers. IXI Corporation, is a leading provider of wealth and asset day, as well as proprietary measures of income and spending through a unique database developed with information from over 95 leading banks, brokerage, and financial institutions. IXI's data sharing exchange post a not a less data from 30 brokerage firms, nine of the top 10 banks, the top 15 annuity issuers then many others. This unified database contains an estimated 75% of full service brokerage assets, 90% of discount brokerage assets, 40% of retail bank deposits, and 80% available annuity assets. ISI sophisticated analytics make it a leader in segmentation and targeting solutions. With ISI's data and proprietary measures, we will be able to deliver a comprehensive view of consumers' capacity, ability, and propensity to pay their obligations or support their spending activities. Finally, IXI also broadens our served markets, with physicians in both healthcare and insurance sectors. Once closed, the acquisition of IXI will further enhance our strategy of delivering differentiated data and decisioning solutions to best-in-class data, analytics, and technology as you might guess I will answer any questions you might have on IXI's in the Q&A in a few moments. I will now move on to some more significant highlights within each of the five business units. U.S. consumer information solutions met our expectations for the quarter, with revenue down slightly from the second quarter and margins holding steady at 35%. We continue to make very progress on solutions settling as we leverage stocks, personal solutions, and our commercial products and capabilities to deliver unique and powerful solutions to our customers. Employment and income attributes are helping solve problems for many of our major customers as they seek to improve the risk-based decisioning and address new regulatory compliance requirements such as the Credit Card Act of 2009. Again, I will give you some insight on that, if you have an interest during the Q&A. Staying with USCIS, our strategy for mortgage solutions continue to deliver strong results. Mortgage settlement services again increased its share with more volume from our large customers, also capital markets, leveraging our broad base of service offerings in the mortgage sector, including settlement services grew significantly, with the delivery of unique solutions for two large customers. The first solution focuses on the risk assessment for whole loan pools, using our extensive analytics and consulting resources to build proprietary models and the second solution addresses loan modifications utilizing analytical capabilities, and the vast data assets to assess in size, the impact of a loan modification program. The U.S. lending environment remains difficult, I think you know that. Risk management continues to challenge financial institutions given their ongoing exposure to high-risk consumers. Debt outstanding in all major lending categories except for student loans declined from 2008 levels as banks continued to tighten their credit underwriting standards and consumers continue to pay down their obligations. First mortgage over 30-day delinquencies increased in September and is up 248 basis points from September of 2008. And the banks continue to close accounts and reduce credit limits year-to-date July, new bank current accounts opened were down 46% from year-to-date in July of 2008. For the fourth quarter, while USCIS revenue is expected to be down modestly from the third quarter and very much inline with the typical seasonal trends as online activity tends to moderate. Move on to next business unit, which is international, they met our expectations for the quarter with local currency, sequential revenue growth and improved operating margins as we've mention we would deliver during the second quarter call. While Europe and Latin America delivered solid single-digit local currency growth in the second quarter as expected consumer declined slightly compared to the second quarter. Revenue from new product initiatives represented over 12% of international revenues during the quarter. In Brazil over 24% of revenues were from new products launched in the last three years. And with the few lane initiatives now underway we have already identified solid expense reduction opportunities across the international properties. In the fourth quarter, we expect international revenues excluding any impact of foreign currency translation should be down slightly from the third quarter again consistent with our normal seasonal patterns. On the TALX, TALX continues to make an outstanding contribution to our business. The combination of unique data and kind of cyclical services enabled it to deliver another thus a quarter of double-digit growth and significant margin improvement when compared to 2008. In the quarter, we added 52 new work numbered data contributors and 3.2 million records in the database. Operating margin in the quarter expanded 530 basis points to 21.4% when compared to third quarter of 2008. We continue to expand the use of the work numbers through cross selling and the development of new products helping our customers solve new problems. But our tax management services segment also turned in an outstanding double-digit growth quarter. In the fourth quarter, TALX revenue should be up slightly when compared to the third quarter continuing the trend of strong double-digit year-on-year growth. North American Personal Solutions focused on initiatives designed to reduce turn and increase revenue per customer during the quarter. Our direct to consumer subscription revenue was up 2% in the quarter by subscriptions in service increase. The recent launch of Debt Wise, which I believe we introduced back in the second quarter. That product is going well and we expect it to become a nice contributor to revenue growth in 2010. For the fourth quarter, we expect personal solutions revenue to be down slightly from the third quarter, reported revenues again inline with our typical seasonal patterns. Last business unit North American Commercial Solutions continues to be negatively impacted by the significant contraction and financial institutions lending to small businesses. Despite a weak environment, the operating margin improved as aggressive expense initiatives including Lean began to deliver good results. Consistent with previous experience commercial solutions fourth quarter revenue should be up when compared to the third quarter in local currency. Now, some summary comments before I turn it over to Lee. Our new product initiative continues to deliver solid top line results. We launched 13 new products during the quarter and the vitality index, which includes revenue from products introduced in the proceeding three years, is at a 100% of target, two or three in the third quarter. We've recently completed an extensive strategic review of our technology and analytical services organization, we call that now TALX, and have identify that variety of new opportunities, which have a potential to deliver significant incremental revenue over the course of the next five years. The voice of the customer work uncovered many unmet or unsatisfied client needs globally. Increased regulation is introducing new complexity to the marketing of financial institutions, product and services offerings and increasing compliance requirements. Both of these are severally straining customer's internal resources. More intense risk management will create new opportunities for information based technology driven solutions but many financial institutions significantly rebound current underwriting standards. The new strategy will focus on enabling technology and analytical opportunities that utilize our vast data assets as well as those not tied to using our data, which is a change for us as a company. We will also increase our investment in software technology, analytical capabilities and acquisitions that will accelerate revenue. Lane continues to improve our operating efficiency and we've identified new opportunities to further reduce costs. Our approach in implementing lane in broad based and includes events undertaken with both customers and outsourcing partners. In USCIS, we have decreased expenses and created a better consumer experience through an improved online dispute resolution process. For Psol, we have worked with an outsourcing partner to improve the effectiveness of our cross-selling initiatives. And for international, we have initiatives underway in Brazil, UK, Canada, and Spain that will drive near term savings and longer term operating efficiencies, including mail automation, local outsourcing, dispute handling and first call resolution. All of our business units and all of our COEs have lean initiatives underway and are now finalizing our plans for 2010. Finally in closing, our strong balance sheet and free cash flow will enable us to evaluate attractive strategic opportunities. We will continue to apply the same rigorous analysis and due diligence in evaluating these opportunities as we have in the past. Although there are certainly difficult, economic and completive challenges, we will aggressively pursue those opportunities, which support our strategy, extract our franchise and better position us for the economic recovery. Lee, I will now turn it over to you, and you go over through some details on the financials please.
Lee Adrean : Thanks, Rick, and good morning everyone. This morning all financial information I will be discussing is presented on a GAAP basis except as otherwise noted. You should also refer to the Q&A and non-GAAP reconciliation attached to our earnings release for additional financial information. For the third quarter compared to the same quarter in 2008, consolidated revenue of $451.9 million was down 6.6%. Changes in foreign exchange rates unfavorably impacted revenue by $12.4 million compared to the third quarter a year ago. In constant dollars, revenue declined 4.1%. Operating margin was 23.5% in the quarter compared to 22.2% in 2008. On a non-GAAP basis, adjusting for restructuring and asset write down charges, the adjusted operating margin in Q3 of 2008 was 25.6%. Diluted earnings per share for the quarter was $0.47, down from $0.56 in 2008. Excluding the impact of acquisition related intangible amortization and the restructuring and asset write down charges and income tax benefit realized in Q3 2008, adjusted earnings per share was $0.57, down from $0.63 in 2008. Compared to the immediately preceding quarter, which is the best indicator of current business trends and our guidance for the quarter, consolidated revenue of $451.9 million was down less than 1% and down 2% in constant dollars. Operating income was also down less than 1% and operating margin was essentially flat. Excluding the impact of acquisition related intangible amortization, adjusted earnings per share was flat when compared to the second quarter. Also during the quarter, we had a discrete tax item, which reduced our tax rate to the quarter by approximately 3 percentage points or $0.02 per share. We reduced total debt during the quarter by $85 million. U.S. Consumer Information Solutions revenue was $200.7 million, down 4.9% from the second quarter of 2009 and in line with the expectations we communicated during our second quarter earnings release in July. Online Consumer Information Solutions revenue was $131.4 million, down 13% compared to 2008 and down 2.5% from the second quarter, reflecting the expected decline in reseller activity due to a softening in mortgage activity, offset partially by increasing volume from telcos. For our core product, total credit decision volume was 116.4 million, down 20% compared to last year. Revenue per transaction increased 7% driven primarily by mix, as large national account volume was down significantly more than regional reseller and tele sales volumes. Telco volume was flat. Mortgage Solutions revenue of $22.5 million was up 35% compared to the third quarter of 2008 or down $6 million in the second quarter levels. Core mortgage reporting revenue was up 24% for the quarter as mortgage activity remained relatively strong despite a slight increase in rates. Both core mortgage reporting and settlement services revenues were up nicely from a year ago, due to increasing market penetration and share gains, but were down from the second quarter when markets refinancing activity peaked. Credit marketing services revenue of $25.7 million was down from the prior year by 14.4%, compared to the year-over-year decline of 23% in the second quarter. The decline resulted from lower prescreen volumes and pricing in what remains a competitive market. During the quarter, revenue for archive and other projects increased as banks and other market participants reassessed current credit conditions, and selectively test new marketing approaches. Direct marketing services revenue was $21.1 million, up 4.7% from the second quarter though still down 7%, compared to the third quarter of 2008. Operating margin for our U.S. Consumer Information Solutions segment was 34.6%, down slightly from the second quarter as a result of lower revenues. International's revenue was $114.9 million, compared to $132.5 million in 2008. In local currency, revenue was down 4.1% from a year ago, but up 3.7% from the second quarter, consistent with expectations we communicated during our second-quarter earnings release in July. By region, Latin America's revenue was $52.3 million, down 11.8% in U.S. dollar terms and down 2% local currency when compared to the second quarter of 2008. I'm sorry the same period in 2008, but up 6% in local currency from second quarter. Europe delivered revenue of $36.5 million down 19% U.S. dollars, and down 8% in local currency when compared to the same period in 2008, but up 5% sequentially in local currency compared to second-quarter. Average revenue per unit increased during the quarter, as volumes with our largest customers declined proportionally more than volume with our smaller customers, that typically pay a higher unit price. Canada consumer revenue was $26 million, down 8% in U.S. dollars and down 2.7% local currency, when compared to the same period in 2008. Revenues were also down 2.7% in local currency when compared to the second quarter. The international business units operating margin was 27%, down from 30% a year ago, but improved from 25.3% in second-quarter. Operating margins in Latin America and Europe, both increased from the second-quarter, reflecting the benefit of higher revenues. TALX revenue was $83.1 million for the quarter, up 13% from the third quarter of 2008. The Work Number continues to deliver broad-based growth revenue of $37 million. We now have $45.5 million active records in the database. Increased verifications in the mortgage, consumer finance, and government sectors drove growth during the quarter. Tax and Talent Management services delivered $46.1 million of revenue, up 13% compared to the prior year. And the TALX operating margin is 21.4%, compared to 16.1% in 2008. In North America Personal Solutions, revenue was $37.1 million, down 9% and in line with the expectations we communicated during the second-quarter earnings release. Direct-to-consumer subscription revenue was up 2% year-over-year that breach and transaction revenue continue to decline in this environment. Operating margin was 27.3% for the quarter, compared to 29.8% in the prior year, and 21.5% in the second quarter. North America Commercial Solutions revenue was $16.1 million, down 3.7% on a reported basis, and down 1.9% in local currency. Declining revenue growth in risk management driven primarily by a decline in transaction volume was partially offset by double-digit growth in data management services. The operating margin was 17.8% in the quarter, compared to 14.8% in the same quarter a year ago. Our third quarter performance is solid and very much inline with our expectations when we gave guidance in July. In this environment we will continue to the aggressively manage our expense base in an effort to protect margins, earnings performance in cash flow while investing in critical growth initiatives such as new product innovation and the acquisition of our IXI. Now let me turn that to Rick.
Richard F. Smith: Thanks Lee. A quick look forward as we always end as we think about the fourth quarter, I expect the environment to be stable across all of our businesses and very much inline with the economic environment that we are experienced in the third quarter some of the current exchange rates, consolidated revenue for the fourth quarter of 2009 is expected to be down slightly from the third quarter which is inline with the normal seasonal trends. Adjusted EPS for the quarter is expected to be between $0.53 and $0.58 a share. As I started I'll end, we have strong franchise a resilient business model and a diverse portfolio that delivers real values for our customers and our shareholders. We have got a great strategy for the long-term that will enable us to deliver value to all our stake holders. We continue to aggressively pursue enterprise wide initiatives and wide value in operational excellence such as new product initiatives, strategic pricing lean and work out. We have already delivered significant incremental revenue and bottom line savings and these will drive even further into our business operations over the coming years. As we expected, we will continue to grow and protect our core business franchise throughout the world with what percentage that has crossed our business units and embrace a team based approach to selling solutions and will increasingly leverage our analytics, decisioning tools and differentiated data capabilities to build greater customer affinity and strengthen our competitive decision also looking for acquisitions that continue to add to our strategy. So with that operator, we will turn it over to Q&A, if you would.
Operator: Thank you, Mr. Smith. (Operator Instructions). We will take our first question form the line of Michael Meltz with J.P. Morgan
Michael Meltz – J.P. Morgan: Thank you. I think I have three questions, on IXI, can you talk a little bit more about financial details on that business? I might have missed that section on the call and what can you tell us in terms of revenue? Its looks to me like it's probably a little bit cash accretive going forward?
Richard F. Smith: It is Michael. Its – let me just give you a high level and then I will get to the specifics of your question. It's a great business. If every one should know this that this a company that we have been working with Tom Daily who runs it and our team here have been working together now for about 18-months maybe a little longer. Get and understand each other's data assets, customer needs, so and so for synergy we can generate. It's a great exchange; it's a unique data asset. We are good at both of those, managing unique assets in an exchange environment. It gives us very, very unique inside into customers now. The ability to pay, capacity to pay, using credit data, income data, employment data and now wealth data. Having said all that Michael we don’t break out necessarily smaller businesses like this. I can tell you this that the multiple we pay when you look at the 2010 revenue is somewhere in the upper threes. So very reasonable prices are strong, double-digit growth business and your last comment there is accurate. It will be accretive for us modestly in 2010.
Michael Meltz – J.P. Morgan: Okay. And based on the last comment, I know in the 8-K you said it's going to be funded through the revolver. Lee, remind us what's your current cost on the facility?
Lee Adrean: Under 1%, we’re actually we use this facility as a backup to our commercial paper program. All of our short term borrowing is – it's currently in commercial paper which we’re issuing at comfortably under 1%.
Michael Meltz – J.P. Morgan: Okay, all right. And then two other questions for you, on CIF I understand the sequential slowdown you always have it in the fourth quarter. What's the expectation on margin there? Do you think you can still keep margin over – kind of roughly stable going forward?
Richard F. Smith: But Micheal, we will continue to manage across the entire enterprise, expenses inline with revenue fluctuations that include USCIS business. I think we have accentuated in the past as we're investing heavily in growing certain products across USICS and as they grow, their margins are little dilutive to the overall USCIS margins. So, from time-to-time you might see some fluctuations driven by revenue compressions you alluded to in the fourth quarter and to fast-growing products that have slightly dilutive margins short-term.
Michael Meltz – JP Morgan: Above 34% in the fourth quarter?
Richard F. Smith: Yes in that range.
Michael Meltz – JP Morgan: Okay. And then last question, on regulatory, can you just give an update as to, you know two sides of the coin, I guess one how you see the CFPA, how that's going to impact Equifax going forward? And then secondly, I know you spoke about your clients needs changing and things that you can do for them, just give us a better sense as to exactly how you see some of this shaking out for you?
Richard F. Smith : Yes. It is a great question. We spend a lot of time obviously and Ken is with me here. He spent a lot of time in Washington with industry associations, with all obvious and others and trying to understand landscapes, specifically CFPA, as you know at one point in time the bill had excluded the credit bureaus from that regulatory body, it was then thrown back in to be included. It is still working this way to the house – the committee first then rest of the house. We are very, very close to it. It is too early to say what the impact is going to be. [Inaudible] obviously will leverage all of our resources in the center to make sure that our voice is heard. So, it is too early to stay if it is a win or lose, but it is top of mind. On the second part of your question, there is an interesting development that has occurred, which we are working through right now, has to do with credit card, with form, I mentioned that, I think in my earnings discussion. The credit card form of 2009, a specific piece of that is Reg G, within Reg G there is a strong language about credit card issuers, either issuing a new card Michael, or raising a limit for current cardholders having to verify the consumer's ability to pay that obligation and the vehicle to verify that their ability is income. So, working heavily obviously and towards understanding the components of Reg G, and working very closely with all of the credit cardholders, and helping them. There are many others – I think it will be a great opportunity by the way for the Work Number and eventually for some models we can build for IXI. There are many other regulatory things that are moving on, some pretty exciting things that are occurring. It's too specific right now, some individual clients may mention. Right now the regulatory landscape with the exception of CPFA, is more wins at our back then wins at our face.
Michael Meltz – JP Morgan: Okay. And Rick last question from me. I'm sorry to be a glutton here. Your comments on IXI, I understand it's small, is there any -- on the margin side there, should we -- any reason to think that margins, you know I know you need to scale up on revenues, but margins can't be you know 20% plus on this business?
Richard F. Smith: Michael the cash operating margins on this business are pretty comparable to Equifax. The one watch out as we roll in this business, we'll also obviously get some acquisitioning amortization. So, our reported operating margins, this will actually get dragged on the company from a reported perspective, but from a cash perspective this will be very comparable to the characteristics that we have as a company.
Lee Adrean : I would probably want to say, on the drag, if you think about the size is for – Equifax is not big enough, in fact the margins of Equifax as a company.
Michael Meltz – JP Morgan : Okay. All right, thanks for your time.
Operator: (Operating Instructions) We will take our question now from the line of Carter Malloy of Stephens.
Carter Malloy – Stephens : I guess thanks for taking my questions. On IXI, I think it is primarily marketing and so I am assuming that it is going to fall in your Direct Marketing Service line, but it if not, please let me know. And on that as you look to sell down your risk base, are you able to sell at a [inaudible] on a real-time basis kind of next year for consumer credit information?
Richard Smith: Carter repeated that second point again.
Carter Malloy – Stephens: Sure. Are you going to be able to sell the IXI data on a transactional real-time basis next year core information?
Richard Smith: Back up to the first part of your question, the first fruit one is, it is will be consolidated, I think maybe Lee mentioned right, it is more like CMS and will be reported as part of the CMS business Carter, not DMS. The answer is yes, on real-time transactions it will be part of it and linked into our interconnect decisioning platform for customers like us.
Carter Malloy – Stephens: Okay. And then on SOX, I think last time we spoke at the end of July on a conference call you guys were feeling good about it in the quarter. I don’t think it's going to be up sequentially as well as margins. So can you talk about I mean what happened there in the later part of the quarter, just to slow that down?
Richard F. Smith: Well, I will get the things in perspective, Carter, as I hope you do as well. It is a business has been growing strong double-digit now throughout this very difficult environment. It grew 13% this quarter. I may have been a little bit more optimistic on a couple of points going into the third quarter, it's a solid business for us and it’s doing everything and more than we ever expected, and margins up 350 basis points sequentially year-on-year. They work in a tax credit business. There were some customers that couldn’t actually use the tax credit. So we had assumed tax credit would be stronger, the tax management is going to be stronger and actually it was in the quarter. And then [Pan] had a few things that slid out and mortgage obviously had a little bit of slowdown towards the end of second quarter. But all in all, you think about it, you take a step back and say it's up 13%, the margin has expanded over 530 basis points - one hell of a performance in the quarter.
Carter Malloy – Stephens: It’s tough to complain about that. Can you comment maybe just on the credit card cross selling and that product, also moving from batch to the transaction basis?
Richard F. Smith: Okay Carter, it's gone unbelievably well for not just cross selling and understanding limits but understanding risks. We talked about the Reg Z. This ability to leverage the work number with credit card customers and soon to be home equity loan customers is solid, really solid. The pipeline bring even for future revenue growth is now stronger than it has ever been, as well.
Carter Malloy – Stephens: Okay. And, Lee, you said the tax rate was down in this quarter. Can I assume that it goes back to the mid-37 range?
Lee Adrean : I would say, in the fourth quarter, it's probably in the 33%, 34% range. Again, next year we'll be higher than that. It's just the timing of roll off of certain uncertain items that we expect to clear in the fourth quarter.
Carter Malloy – Stephens: Okay. And then one last quick question I noticed your website has changed recently to be a lot more consumer focus. Have you seen an improvement in conversions from your SCM and TV advice?
Richard F. Smith: Yeah, that’s a great observation, Carter. We have spent a lot of time -- that’s our storefront, it's place for our employees to go, it place for our investors to go. We’ve cleaned the thing up and made it much more consumer friendly after a lot of work with some internal thought and some outside consultants who are experts there and yes, conversions are up as a result, which is I think bodes well for Pesos in 2010.
Carter Malloy – Stephens: Okay. Thanks for taking my questions.
Richard F. Smith: Thank you.
Operator: We'll take our next question from the line of Dan Levine, Robert W. Baird.
Dan Levine – Robert W. Baird: Great, thanks. When you guys look at the expense base and some of the discussions you've had around additional pieces you can do on lean, are there still significant more chunks of the cost that we can take out, or as we think about it more along the lines when revenue growth comes back that it is going to be able to keep a lid on expense growth?
Richard F. Smith: No, Dan, the first part of your question, we are – if you want to use a baseball analogy, I think we in the inning number two in a nine-inning game with lean. Andy’s doing a hell of a job, we are training people getting projects launched around the business, but as you know, it’s a cultural change that takes time to get that implemented across the 6,000 whatever 500, 6,800 person organization in multiple countries. So there’s still lot [of juice] to be done and even revenue continues to bounce back, Dan, we'll continue to deploy lean, if not just a lever in tough times, it will be lever in all times.
Dan Levine – Robert W. Baird: Great. And then what have you heard initially from clients as they're starting to look forward to their budgets in 2010 both kind of from the – thinking about redeveloping score cards and those types of budgets as well as on the marketing side?
Richard F. Smith: Let’s say on the marketing side, to start with your letter part, it's just talking to Dan Adams about that in the last week or so, we are getting more confidence that the big banks, big card issuers are going to step up marketing in 2010. Obviously, of this more levels in 2008 and '09, but there’s some pent-up energy to increase marketing. And I think the most important think there is not just the increased marketing, it to be smarter and smarter with the target marketing, which is why we feel very uniquely positioned because of the work number, combined with the credit file and now IXR. We give credit card issuers a very unique insight into who to target and who not to target.
Dan Levine – Robert W. Baird: Great. And then anything on the other side of the business what you are hearing from budgets around our risk management and so forth?
Richard F. Smith: I think the underwriting standards that we've seen tight, I gave you some stats earlier we'll first kick off the call, we'll continue 2010.
Dan Levine – Robert W. Baird: Great. And then finally, you talked a little bit about the mix shift to the smaller lenders. Could you talk about pricing within kind of the different buckets among the large and small customers?
Richard F. Smith: Nothing really unique across – I mean real buckets, they always have buckets of deception. But in aggregate we have is obviously a smaller buy if you will across the big banks because the pressure they have been under and the smaller banks become a bigger piece hence the mix as you mentioned actually has a uptick in pricing but by and large if you look at it across the entire enterprise in every geography Dan, the trend that we have seen in the past couple of years are continuing.
Dan Levine – Robert W. Baird: Great, thanks guys.
Richard F. Smith: Thanks.
Operator: We'll take our next question from the line of Shlomo Rosenbaum, Stifel Nicolaus.
Shlomo Rosenbaum – Stifel Nicolaus: Hi, thank you very much for taking my questions. I just want to focus a little bit more on IXI and ask how unique is the data? Are there any other competitors out there and how hard would it be for someone else to replicate this data?
Richard F. Smith: Obviously, as the proud father that new business I’ll say it’s very unique because I think it is. They have build pipes and all in these institutions. I think it's anlages to the work number. They have assembled $10 trillion in asset data. Each one as an exchange and in exchange obviously something we have, I've got deep experience in running. So, I think it's very unique and as long as we’re out there continue to add value and service to our clients with the need they have, which is combined roughly of the income data, the employment and the credit data, I don’t think there's any need for customers to have to look for an alternative source. And for now it is any one of our exchanges. If you think about our exchanges could someone replicate a Telco exchange? Could they replicate FPFC exchage? Could they replicate a Telco exchage? Yeah, but they have not because we are very, very good at it?
Shlomo Rosenbaum – Stifel Nicolaus: Do you have a lot of confidence that this is going to remain a unique source of this type of information?
Richard F. Smith: Yes sir.
Shlomo Rosenbaum – Stifel Nicolaus: Okay. Just on the cross selling and talks, you gave just the last couple of quarters you talked about like two new cost sales, of talks with USCIS and then in the last quarter it was like 10 new cost sales, can you give any update as to either, are there more customers who get it? And on there are different areas within the same customers that you are able to sell further, into in third quarter? Or quantify any of that...
Richard F. Smith: Here is a simple way to look at it. Either it's becoming part of the DNA of our sales team. They have levels there both on database and every account they can possible leverage into. It's becoming part of the selling process. It's no longer a view it is now. It's part of what we sell all our customers. So customers get it now and as I mentioned earlier the pipeline is unbelievable strong. That is grown strong from even the second quarter when we talked last.
Shlomo Rosenbaum – Stifel Nicolaus: How about in either wins, can you give us any data – did you have more wins? Was it up versus 2Q or was just 2Q? Just a very strong quarters, so it was down in 3Q, I'm just trying to get a sense of progress?
Richard F. Smith: Yeah, it is expanding not shrinking, it's growing.
Shlomo Rosenbaum – Stifel Nicolaus: Can you?
Richard F. Smith: Go ahead.
Shlomo Rosenbaum – Stifel Nicolaus: I was just going to ask a little bit more on the cost side of the things. You talked about, lean and just pushing that through the business, through our this year can you talk about the level of cost reduction or what you have taken out of the cost base? And if there are any high level areas or higher cost items that sort of stick out, just going into 2009 to where we are now?
Richard F. Smith: Is the first part of your question kind of where we’re taking cost up to today and what are the kind of future opportunities, is that what your question is?
Shlomo Rosenbaum – Stifel Nicolaus: Yeah and where have you taken them out up to today? Any large things that stick out and then, I guess it's following up on some of the futures things that would come up there and the question was asked before.
Richard F. Smith: I think it's stop at this and we jump in if you additional thoughts here. Nothing has been sacred, number one, we have leverage applications and maintenance resources that were once largely onshore to outsourcing and largely offshore. We have taken our BPO processes, IPO processes again largely onshore, moved those offshore. We now have very, very large centres in India. We have created a whole new analytics team that was once domiciled in the U.S. to do programming for our decisioning engines, and have built a world-class team now. I just was down seeing them in Santiago, Chile - very, very low expense base. We have questioned almost every activity that we have in the Company and have taken cost out systematically there. The places we have not cut are in the areas of growth, so it's NPI, marketing and things – strategic pricing. We continue to hold firm there. But it's been every geography. It's been every COE that we've looked at, either through lean, through workout or just through financial rigor. But I'd say, if you haven't, if I had to give you an answer for where is your largest single bucket, to date, Lee, I would probably say it is got to be in the area of outsourcing activities to low-cost countries. Would you agree?
Lee Adrean: I would agree with that.
Richard F. Smith : As far as, where is the next big bucket to come from, I don't think there is going to be one silver bullet, it is going to be a series of continuing on activities we have launched to date and leveraging lean fully.
Shlomo Rosenbaum – Stifel Nicolaus:  Okay. And then just on the marketing side of things in terms of the budgets, we are hearing, you know little bit of snippets from yourself, yeah there is just, you know little bit more activity in terms of preliminary interest from the issuers, both yourself and in some of her competitors, when you hear some of the conference calls and talk to some of the banks, they seem to talk about yeah, we will do it, but it doesn't seem like a huge commitment, if you look at some of the comments they have, they said they have increased their budget, but they are really just going to spend that money when they have confidence that they will get a good ROI on that investment. Do you have any sense on them that they are further along then what seems like just kind of a, you know we will spend it when it feels right?
Richard Smith: I think the point I made was, there is more buzz if you will, in the credit card issuers to spend more money in marketing, and again it is target marketing with the late customer, which again I think is why we're so uniquely positioned now. With our data assets of employment income credit and wealth data to help them. So, I would hope and expect an uptick in marketing as we go into 2010.
Shlomo Rosenbaum – Stifel Nicolaus: Okay. All right, thanks a lot guys.
Richard Smith: Thank you.
Operator: At this time we have one question remaining, we will take our last question from Jaime Brandwood with UBS.
Jaime Brandwood – UBS : Good morning. I wondered, if I might also be able to ask a little bit about IXI and the actual nature of the data, can you use the data on individuals or do you have to use it on an aggregate basis and if you are using that specifically on individuals who can you sell the data to and for what purpose?
Richard Smith: Right now, it is -- we call here in the U.S. ZIP+4 level. ZIP+4 is a very, very consolidated level, some of them five and may be seven homes, and so you can get very, very granule, when you take that kind of analytics that database combined with our analytical capability or income and creditor, you can get awfully doggone accurate at the ZIP+4 level. 
Jaime Brandwood – UBS : So, you don't know what John Smith is doing, but you know the seven people in that kind of area doing roughly.
Richard F. Smith : Roughly, correct. 
Jaime Brandwood – UBS : Okay. Wondered if might be able to ask when you talked about credit marketing services, you obviously said that the main reason for the decline there was the other lower prescreen volumes and I think you might have also talked a little about pricing pressure, what have you seen on the portfolio management side, I mean what kind of growth are you still seeing in portfolio management within CMS? Is it double-digit growth or has it slowed down a little?
Richard Smith: Ebbs and flow is from quarter-to-quarter, month-to-month, I'm sure I remember the year to date numbers, volume up year to date, the answer is yes. Year to date is up or --?
Lee Adrean: Year to date is flat, flat to down just slightly.
Jaime Brandwood – UBS : Flat, okay. And I just wonder on your comments on Latin America and Europe, whether you could provide a little bit of additional color on Brazil and the U.K., within those two regions?
Lee Adrean: What color, are you looking for economic wins --
Jaime Brandwood – UBS: I guess your performance, for example, versus the minus 2% in LatAm, did you actually see growth in Brazil and versus the minus 8% in Europe, were you actually down double digits in the U.K. and still seeing growth in Spain.
Lee Adrean : And we don't break that out as you know. I'll give you this texture though. Brazil performed better sequentially. Third-quarter versus the second quarter. Brazil continues to be a great important market for us, I've been down there twice now in the last -- last three weeks, so I am still as committed to Brazil, as I have ever had been and we will continue to build new products, win some shares, some unique markets and I think you understand in the U.K., U.K. is also up sequentially versus the second quarter with a tough environment. And by the way we continue to win and gain share in Iberia.
Jaime Brandwood – UBS: Yes, I mean the reason why I ask about Iberia, and specifically Spain is that as to our rival mentioned that they have seen double-digit growth there, I was wondering if you would echo that.
Richard F. Smith : We've been talking now for couple of years, we are the largest player, we are the largest player in Iberia, and we continue to grow. It is not just this quarter, it is not just this year or last year, [inaudible] strong growth as well.
Jaime Brandwood – UBS: Fair enough. My last question, personal solutions, I think you made quite a lot of noise earlier in the year about TV ad campaign that you are running, and just generally pushing marketing spend towards that division a little bit more. In terms of the margin improvement that you saw there quarter-on-quarter, is that partly because you have now reined in some of that marketing investment and you haven’t got any kind of big campaign plant, TV ad campaign trend for the second half?
Richard Smith: Yeah. Our advertising investment in P-Sol ebbs and flows throughout the year. So short answer is, yeah, the parts of benefit in the third quarter for P-Sol was a little less advertising spend. But that as you know, you look at our quarter-on-quarter margins for P-Sol, it is very, very horrible.
Jaime Brandwood – UBS: You haven’t got any plans at the moment for running another campaign or anything like that?
Richard Smith: Obviously, we ran a campaign in the third quarter for debt wise. That thing has taken off. We continue to evaluate that. Does that need more advertising spend going forward. I don’t ever see us hitting the level of spending because I think we need to as one of our competitors does.
Jaime Brandwood – UBS: Yeah. All right thanks very much.
Richard Smith: Thank you.
Operator: And we’ll take our last question from the line Andrew Jeffrey, SunTrust.
Andrew Jeffrey – SunTrust: Hey guys, good morning
Richard Smith: Hi, Andrew.
Andrew Jeffrey – SunTrust: Rick, I understand how sort of aggressively you've analyzed cost throughout your USCIS business, I appreciate the extent to which you – I think you are in the earlier stages of rationalizing expenses. If I can ask you a little more pointedly, as I think about 2010 as let’s say conservatively an environment in which say volumes are flattish and maybe they are better and hopefully they are better, would you go so far as to say that the level of profitability in USCIS today is sustainable in that kind of environment, assuming we don’t have another leg down in volume?
Richard Smith: Yeah, the way to think about that question is, the profitability is a factor of multiple things. It's revenue, it's the price and it's the cost right. And I would like to think as we move into 2010 and beyond that the worst of the economic environment is behind us, as I mentioned in my closing comments and we get some stability and some of the new products we have enabled USCIS business actually start growing. If that happens obviously, we continue our pricing discipline, continue our cost discipline, profits should be stable, if not up in 2010 and beyond, if that make sense?
Andrew Jeffrey – SunTrust: Okay. So in other words, its sound like you are answering in the affirmative if indeed the underlying assumption is that—
Richard Smith: Yeah.
Andrew Jeffrey – SunTrust: Okay, okay. And then in a little more optimistic view or maybe ask differently, do you need beyond that meaningful volume growth, do you think to start to drive the margin higher? I would expect that in the absence of that stability is about as much as we could hope for?
Richard Smith: Well, I think as you mature in some of the new products that we have introduced in the last two years and you get more scale in USCIS and things like ESS as example, but there are many others that time is on our side as well. And I would expect to be very specific in areas like ESS for mortgages to continue to improve in 2010 and beyond, because its just becoming a scale business. And there are other new products we have launched in all geographies, but your question specifically U.S. Yes, that will board well for margins in 2010 and beyond as well. Not just…
Andrew Jeffrey – SunTrust: Okay. And then I guess a question for Lee, with respect to currency, I would expect that the fourth quarter would be a quarter in which currency is much less of a head wind. How should we be thinking I guess especially in Europe about that with regard to sort of the down sequential revenue guidance you’re giving?
Lee Adrean: Yeah, you are correct. Last year in the fourth quarter, the dollar was actually very strong and it has weakened since then. So actually currency becomes a favorable comparison in the fourth quarter. I haven’t broken it up by region. Internally, we manage to constant dollars as we are managing the fundamentals of the business. But currency overall for our international business would be a plus rather than a minus in the fourth quarter.
Andrew Jeffrey – SunTrust: Right. And even in light of that, you would expect revenues to be done sequentially, obviously up year-on-year but?
Lee Adrean: The sequential guidance we give basically presumes that the currency rates remain where they are today. We don’t try to project from today's level. And so we don’t expect a lot of change in currency rates from Q3 to Q4.
Richard Smith: But, Andrew, the heart of your question, I think, was we normally see a sequential – a decline in the fourth quarter, a seasonal decline in the fourth quarter.
Andrew Jeffrey – SunTrust : Right. Okay. So currency at the current level is still consistent with that kind of decline. And then I think I miss what you said Rick about talks in the fourth quarter revenue?
Richard Smith: I'm sorry? You missed what, what I said?
Andrew Jeffrey – SunTrust : I missed what you said? Did you say it's going to be flattish or down sequentially?
Richard Smith: No it will be up slightly from the third quarter and continue to show strong double-digit growth year-on-year.
Andrew Jeffrey – SunTrust : Okay, and we can expect, do you think just preliminarily, double-digit growth in '10? Or, is that too aggressive.
Richard Smith: Andrew. We'll get to ’10 when we get through 2009, how’s that.
Andrew Jeffrey – SunTrust : Okay thanks guys.
Richard Smith: Thanks. Okay, operator we'll conclude the call at this point. We'll be available throughout the course of the day if anybody has additional questions. So with that I appreciate your participation and that will conclude the call. Thank you.
Operator: That does conclude today's conference. Thank you for your participation.